Operator: Ladies and gentlemen, thank you for standing by. Welcome to Niu Technologies Fourth Quarter 2024 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. Please be advised that today's conference is being recorded. If you have any objections, you may disconnect at this time. I would like now to turn the conference over to Kristal Li, Investor Relations Manager of Niu Technologies. Ms. Li, please go ahead.
Kristal Li: Thank you, operator. Hello, everyone. Welcome to today's conference call to discuss Niu Technologies' results for the fourth quarter and full year 2024. The earnings press release, corporate presentation and financial spreadsheets have been posted on our Investor Relations website. This call is being webcast from our company's IR site as well, and a replay of the call will be available soon. Please note, today's discussion will contain forward-looking statements made under the safe harbor provision of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks, uncertainties, assumptions and other factors. The company's actual results may be materially different from those expressed today. Further information regarding the risk factors included in the company's public filings with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required by law. Our earnings press release and this call include discussion of certain non-GAAP financial measures, and press release contains a definition of non-GAAP financial measures and reconciliation of GAAP to non-GAAP financial results. On the call with me today are our CEO, Dr. Yan Li, and CFO, Ms. Fion Zhou. Now, let me turn the call over to CEO, Yan.
Yan Li: Thank you, Kristal. Hello, everyone. Thank you for joining us today. So, in the fourth quarter of 2024, we achieved a total sales volume of 226,600 units, marking a significant 65% year-over-year growth. Behind this strong performance was 65% year-over-year increase in sales volume in China, reaching 182,000 units, and 64% year-over-year growth in overseas with 44,000 units sold. Total revenue for the fourth quarter was RMB819 million, reflecting a 71% increase compared with same period last year. Those results closed out the financial year for 2024 on a strong note. For the full year, we recorded total sales volume of 924,000 units, representing a 30% year-over-year increase. Total revenue for the year reached RMB3.29 billion, up 24% from 2023. This rebound in growth underscores the effectiveness of our strategic initiatives. Throughout 2024, we remained focused on expanding our product offerings, strengthening sales channels and broaden our market reach. Our return on growth trajectory is a testament to all those efforts. As we build on this momentum, we remain committed to refine our strategy to achieve ambitious targets and adapt to evolving market dynamics. So, taking a closer look at our performance in China, sales volume reached 182,000 units in this quarter. Our focused product portfolio emphasized on technology innovation, expanded sales channel and the targeted market initiatives were key drivers for the strong domestic performance. For the entire year of 2024, we remained laser-focused in refining our signature product lineup, emphasizing our core N, M and U series, while also introducing the new F series as a key addition. We expanded our bestseller strategy, further strengthening our leadership in the mid- to high-end segments with robust and competitive product portfolios. Beyond innovation, we took extra steps to prioritize product safety by subjecting our models to rigorous testing standards. Niu became the first brand in the market to receive a five-star safety certification from China Merchant Vehicle Research Institute. In 2024, we continued to elevate our legacy of N series, reinforcing our status as Niu's most recognized and bestseller product line across multiple market segments. At the premium-end, we introduced the NX and NXT series, the most powerful and high-performance two-wheeler Niu has ever produced. Built on the shared platform, the NX and NXT incorporate our most-advanced smart riding technologies, include the dual-channel ABS, a full-color TFT display with screen mirroring navigation, millimeter-wavelength radar and adaptive traction control, setting new standard for performance and safety. Within this lineup, the NX Hyper stands as a flagship model engineered from racing enthusiasts, featuring a motor with a peak output of 29 kilowatts, a top speed of 135 kilometer per hour and [indiscernible] suspension braking system, delivering exceptional rider experience. With the top performance of NX, it's also built with riding safety in mind. The NX is the first electric motorcycle in China to earn a five-star safety certification. Beyond the high-performance NX and NXT series, we also expanded N series lineup earlier this year with the launch of N Play and NT Play. Those stylish and compact model quickly gained popularity among young riders for their affordability and trend-driving design. The N Play electric motorcycle and NT Play electric bicycle retain the iconic N series look while incorporating smart features such as keyless ignition, TCS traction control, and the push assist, significantly enhancing riders' convenience and safety. With those additions, the N series now [extend] (ph) from lightweight electric bicycles to high-performance motorcycles, making Niu the most diverse and best-selling product line. In 2024, the N series alone accounted for 39% of our total sales volume in China, a substantial increase from just 5% in 2023, demonstrating a strong market demand and the effectiveness of our focused product strategy. Besides N series, we also built a success on top of our M models. We have further strengthened our M series by launching an upgraded version of our classic model. In 2024, we introduced the new MT as the evolution of M series with a fresh and trend-focused upgrade design for the Gen Z users. Returning the classic M series design language, the MT introduced new color options, enhanced the rider comfort and smart features. Its lightweight and compact frame make it ideal for female riders and first-time users. And the last signature series we focused on upgrading is our U series. We launched two core products during 2024, the UMAX and U1e. The UMAX is a product designed for young riders who seek a blend of style, comfort and high performance. With a larger form factor, UMAX enhance visual appeals and riding comfort, it boosts the impressive 160-kilometer range and boosts driving modes for rapid acceleration. The U1e is our first female-focused scooter, which upgrades with new color schemes, economic improvement in handle and seat positions and easy-to-use smart functionalities and also option to include a baby seat among its accessories. Now, besides the N, M and U series, in 2024, we further expanded our core lineup with the launch of FX motorcycles, which has quickly become a recognizable and stylish alternative alongside our classic [halo like] (ph) N, M, U series. The FX series embodies the sporty design, featuring eagle-eye highlights and the intricate design details, adding sophistication and bold presence to its [lineup] (ph). The FX Pro version leading in performance equipped with 45 amp-hour batteries, a 1,500-watts motor, and top speed of 55 kilometers per hour, and an impressive range of 130 kilometers. The FX series is also debuted as part of co-branding initiative with Game for Peace, one of China's top mobile gaming with 70 million MAUs. This collaboration introduced a limited edition model inspired by the game's look, providing fans and riders with unique line of style performance and the cultural relevance. The co-branded FX series strengthened Niu's position in pop culture, expanding brand awareness and engagement among younger riders. Now, by focusing in our core series and the strategic launch products tailored to specific customers' needs, we have reinforced our leadership in urban mobility. The market's strong reception of these models underscore effectiveness of our focused product strategy, driving both volume growth and brand recognition. In 2024, our core product series, the N, M, U and F accounted for 87% of our total sales volume in China. Now, looking forward in 2025, we remain committed in our focused product strategy, enhance our core Niu product series, while ensuring a broader market coverage to meet the diverse needs of riders. We have exciting new product in pipeline, incorporating innovations and key upgrades to adapt the evolving market dynamics and specific user demands. Now, alongside with our product strategy, our commitment to develop a cutting-edge technology is also reflected in the significant investment and progress we have made. In 2024, we're focused on enhancing the riding technology, including key features such as dual-channel ABS, screen mirroring navigation, millimeter-wave radar, full-color TFT display with [indiscernible], all of which has been well received by our users. In 2025, we are further advancing rider intelligence with focused on three core pillars: the seamless riding experience, the AI smart control assistance and the smart ecosystems. Those innovations will redefine the riding experience, bringing new level of intelligence, safety and connectivity to our scooters. To create a more seamless intuitive interaction between riders and scooters, we plan to smart hardware advancement that prioritize personalization, convenience and intelligence, such as building high-definition touchscreen with integrated operating systems. Our AI-driven riding assistance enhance responsiveness and adaptability, such as voice and gesture-based control. And last but not least, our smart ecosystem broadens the functionality of our new product through partnerships with third-party ecosystems. Now, alongside our product technology advancement, we have made significant strides in expanding our sales channels, ensuring our product reach a broader consumer base. With a strong focus on penetrating the previously underrepresented market in China, we have strategically expanded our retail footprint. In 2024, we successfully opened approximately 900 new stores, leveraging the momentum from our new product launches and refreshed brand positioning. Among those 900 stores, around 50% of them opened in the Tier 3 cities, representing our efforts in spending the lower-tier cities. Now, with the regained channel momentum, in 2025, we plan to open another 1,000 to 1,500 stores, further strengthening our market presence. As our sales channel expansion accelerates, we expect to see a direct impact on sales volume growth in these coming quarters. Now, in 2024, we focused our marketing effort on targeting premium consumers and Gen Z riders, further solidifying Niu's brand presence through a key product launches, strategic IP collaboration and extensive social media outreach. Those initiatives have strengthened brand recognition. In August, we received official certification from authorized market research institute, recognized Niu as the leading global brand in premium smart electric two-wheelers. To mark the launch of NX Hyper, we debuted with a series of high-profile ride tests, including the China [first track] (ph) standard test drive event for electric two-wheelers. Held in Beijing, this event attracted over 100 media professionals, industry experts and influencers, providing an unparalleled first-time experience of NX Hyper exceptional performance. By setting a new performance benchmark within the electric motorcycle segments, NX Hyper has reinforced Niu's premium brand positioning. Now, to broaden our brand influence and deepen our connection with Gen Z consumers, we leveraged high-impact IP collaborations, including e-sports partnerships, active participation in animation exhibitions and a series of offline campus events across 130-plus universities. One of our most significant collaboration was with Game of Peace, a top mobile game with 70 million MAUs. Through this partnership, Niu introduced two co-branded scooters featuring game-inspired theme and a limited edition design, seamlessly blended digital entertainment with the real-world riding experience. In 2024, we also implemented a matrix marketing approach to enhance the brand communication and digital engagement. Our strategy integrated Niu's own original brand content across the four official brand accounts, the original customized content with 40-plus localized accounts and the store-level self-operated content across 3,000-plus store accounts, creating a scalable and highly-effective social media matrix. This multi-tiered strategy has generated over 20 billion views, marking a 5x increase compared to our 2023 efforts. Now, turning into the overseas market. The overseas market witnessed a substantial 54% growth in sales volume in Q4 and reaching a 52% volume growth in the full year of 2024. This year, Niu's overseas segment demonstrated strong growth, driven by strategic market expansion and operational optimization. We continue to develop our two core product lines, electric two wheelers and the micro mobility, while strengthening our foundation in product innovation, operation and brand positioning. In the electric two-wheeler segment, we leverage our cutting-edge technology and unique design products, adopting them to local market needs. A key focus in 2024 was establishing direct distribution operation in our core markets, such as Germany, Italy, France and the United States. We laid the foundation for direct distribution by setting up local entities, hiring team, onboarding partners and developing a localized sales network. With the infrastructure in place, we'll expand our sales network to over 120 active dealers by year-end and plan to double this number by first half of 2025. Our electric two-wheeler product lineup in 2024 also [expand] (ph) daily-commuting electric moped to high-speed and high-performance electric motorcycles. In Q4 2024, we showcased our key electric motorcycles at EICMA in Milan, Italy, reinforced our presence in the premium electric motorcycle space. As part of our product expansion strategy, we launched the NX series, the international version of NX premium motorcycle, and the F series, the global adaptation of our F series. Both product lines were well received in the key market, generating industry attention and strong preorders. We also upgraded our off-road motorcycle, XQi3, with OTA upgrade and boost power to 10.6 kilowatts, improved acceleration and reached a top speed of 80 kilometers per hour. Our XQi3 has also received the prestige iF Design Awards 2025, making another legendary new product. Now, for the micro mobility market, in 2024, we prioritized expanding retail channels in key markets, strengthening our sales network and market presence. The expansion drove a significant volume growth. Our retail footprint now includes 800-plus stores in Best Buy, 160 stores in Walmart, and 1,000 stores in Kohl's, and 200 stores in MediaMarkt in Germany and the full coverage in [EXPED] (ph), ensure wide accessibility with greater brand visibility across major global retail chains. However, on the micro mobility market, we faced significant headwinds in 2024 due to the US tariff increase on the China export, which rose from 0% to 25% last year on the key micro mobility product. The sudden cost surge yield margins, leading to a negative gross margin on our product shipped from China to the US for the large part of the year in 2024. To mitigate those challenges, we initiated setting up production of US version of kick-scooters and micro mobility product in Southeast Asia starting in the second half of Q4 -- second half of 2024. Now, in January 2025, we successfully shipped our first South Asia local manufactured units to United States, marking a crucial step towards supply chain optimization. Now, looking forward, we remain highly optimistic about the China market and overseas market. Now, for the China market, building on the strong foundation established in 2024, on the product side over the past year, we refocused our product portfolio around our core N, M, U and F series, reinforcing our leadership in key market segments. Our smart technology advancement have also shown early signs of success with strong traction from customers and a clear roadmap for further innovations in 2025. We're also standardizing our key product platforms, which will improve the R&D process and also reduce the BOM costs. This will help us to improve the gross margin in the China market, which already reflected the early success in Q1 2025. The technology advancement and standardized platform has also prepared us well to roll out two new series for 2025 in China, one to address the new electric bicycle standard in China and one to address the premium motorcycles. On the sales channel in China, we have also regained channel momentum as we added around 900 stores in 2024 for the first time in the last three years. We're in the process of rolling out the [indiscernible] upgrade for our retail stores, which will be implemented for the 1,000 and 1,500 new stores targeted this year. Now, lastly, with the new product rollout of the channel expansion, we also plan to increase our branding and marketing effort significantly in 2025 in China, targeting a broader range of consumer segments, both online and offline. We plan to ride this momentum game in the key social media platform in 2024 and triple our online exposures in 2025. We have observed early signs in fast growth in Q1 this year with our retail sales year-to-date increased by 50%-plus. We plan to continue to ride this growth momentum for the rest of the year. Now, for the overseas market in 2025, we expect our strategic effort to drive tangible growth across key markets. The electric two-wheeler segment is poised for a strong rebound with our initial operation setup completed and a well-established local sales network now in place. All the key products are already debuted in EICMA 2024 and received well responses from dealers and consumers. The upgraded XQi3 will also provide additional growth catalyst for the off-road motorcycle car market. The 120 existing dealers and additional 100-plus new dealers will help to drive the retail growth. For the micro mobility market, we have reached a solid retail coverage in the key countries by end of 2024. Those will provide solid foundation for the baseline growth for 2025. In addition, we expect to enter new retailers in the key markets, such as Italy, France and United States. While the kick scooter market has faced short-term challenges due to the increased tariffs, our supply chain adjustments are now fully implemented, position us to restore profitability and drive sustainable growth in the coming quarters. Now, with those initiatives in place, we expect to reach 1.3 million to 1.6 million unit sales for the year of 2025. With that, let me turn the call to Fion.
Fion Zhou: Thank you, Yan, and hello, everyone. Please note that our press release contains all the figures and comparisons you need, and we have also uploaded Excel format figures to our IR website for your easy reference. As I review our financial results, I'm referring to the fourth quarter figures unless I say otherwise. And all monetary figures are in RMB, if not specified. As Yan just mentioned, our total sales volume for the fourth quarter was 227,000 units, an increase of 65% compared to the same period of last year. Specifically speaking, China sales volume was 182,000 units, 80% of the total sales volume and overseas was 44,000 units, taking around 20% of the total sales volume. And for the full year 2024, the total sales volume was 924,000 units, including 759,000 units in China and 165,000 units overseas. Total revenue for the fourth quarter was RMB819 million, up 71% compared to the same period of last year. To break down the scooter revenues by ranging, scooter revenues in China were RMB646 million, up 82% year-over-year and represented 88% of the total scooter revenues. The increase was mainly due to the increased sales volume and revenue per scooter in China. China e-scooters ASP reached RMB3,544, 15% higher on a quarter-over-quarter basis and 10% higher on a year-over-year basis. The overseas scooter revenue, including kick-scooters, e-mopeds and e-motorcycles, were RMB87 million, representing 12% of the total e-scooter revenues. The branded scooter ASP decreased to nearly RMB2,000, down around 10% year-over-year and mainly driven by the higher sales contribution of the kick-scooters. Accessory, spare parts and services revenue were RMB86 million, up 33% year-over-year and representing nearly 10% of the total revenues. The increase was mainly due to an increase in accessory spare part sales in both China and international markets. For the full year 2024, the total revenue increased by 24% to RMB3.3 billion. China scooter revenue as a whole saw nearly 28% year-over-year lift to RMB2.6 billion. The overseas school revenue increased by 14% to RMB397 million. The total overseas revenue, including scooters and non-scooters contributed to nearly 13% of the total revenues. And let's take a look at ASP in 2024. The overall scooter ASP saw slightly decreased from RMB3,323 to RMB3,203. Among this, the China scooter ASP increased from RMB3,344 to RMB3,377 and driven by an increase in proportion of the premium series sales volume, which has a higher ASP. The overseas branded scooter ASP was RMB2,402, a 25% decrease due to the change in the overseas product mix, with the kick-scooter accounting for approximately 98% of the total overseas scooter sales volume. And the gross margin for the fourth quarter was 12.4%, a decrease of 6.6 ppt compared to the same period of last year. And the decline in the overall gross margin was primarily driven by the shift in the overseas product mix and 25% in the US tariff, both of which we mentioned last quarter. In addition, the year-end overseas holiday season incentives further impacted the margin this quarter. And these three factors negatively impacted both overseas and overall gross margins. However, the China gross margin improved by 1.5 ppt compared to last quarter. For the full year 2024, our gross margin was 15.2%, down from 21.5% in the previous year, representing a year-over-year decline of 6.3 ppt, a 2.6 ppt decrease driven by the overseas factors, a lower-margin product mix and the 25% US tariff and the platform incentives during the holiday season. And the other 3.7 ppt gross margin declined driven by the domestic market as we continue to allocate a portion of our margins to support the domestic distribution partners. Additionally, our premium lead-acid motorcycles yield lower margins compared to the same tier lithium-ion models. Fourth quarter OpEx was RMB193 million, RMB53 million lower than the same period of last year. Selling and marketing expenses were RMB136 million, RMB55 million lower than last year and mainly due to the decrease in rental and advertising and promotion activities in overseas market. Research and development expenses were RMB39 million, RMB3 million higher than the fourth quarter of 2023, mainly due to the increase in staff costs and share-based compensation. And G&A expenses were RMB18 million, around RMB1 million lower on an annual basis, mainly due to the decrease in allowance of doubtful accounts of RMB1million. For the full year 2024, the OpEx was RMB750 million, 16% lower than 2023. And operating expenses as a percentage of revenue was nearly 23%. Selling and marketing expenses were RMB490 million, RMB6 million lower than last year and about 15% of the revenues. Research and development expenses were RMB130 million, RMB21 million lower than last year, about 4% of revenues. And G&A expenses were RMB131 million, around RMB114 million lower than last year, about 4% of revenues. Non-GAAP OpEx were RMB727 million, representing 22% of revenue compared to 32% in 2023. In the fourth quarter, we had a net loss of RMB73 million and non-GAAP net loss of RMB67 million. On a full year basis, we had a net loss of RMB193 million and non-GAAP net loss of RMB169 million. Turning to our balance sheet and cash flow. We ended the year with RMB1.1 billion in cash, restricted cash, term deposit and short-term investments. On an annual basis, operating cash flow was inflow RMB55 million, primarily because we made a net income after adjusting for non-cash items. And our Q4 CapEx was RMB38 million. For the full year, CapEx was RMB120 million, RMB41 million higher than last year because of the store expansion and module cost in the domestic market. And now, let's turn to guidance. We expected the first quarter revenue will be in the range of RMB631 million to RMB707 million, an increase of 25% to 40% year-over-year. And the sales volume for 2025 are expected to be in the range of 1.3 million to 1.6 million units, as Yan just mentioned. Please be aware that this outlook is based on the information available as of the date and reflects the company's current and preliminary expectations, which is subject to change due to uncertainties related to various factors. And with that, let's now open the call for any questions that you may have for us. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] And the first question comes from Yating Chen with CICC. Your line is now open.
Yating Chen: Hello. This is Yating from CICC. And I have two questions. The first question is, what is your sales target for kick-scooters in 2025? And considering the difficulty of achieving profitability in the kick-scooter business, what is your long-term plan for this business? This is my first question.
Yan Li: So, I think it's a good question. So, for the kick-scooters, we're looking at probably -- last year, we did about 160,000-plus units. So, we're looking at anywhere between roughly 30% growth to -- 30% to 50% growth for 2025. I think with the kick-scooters business, I think investors are too concerned about profitability. The issue with the last couple of years are, one, it's actually due to the high US tariff expected. And that -- as we mentioned in the call, that's being actually addressed starting to address last year, but really the first scooter being out of market is really from Southeast Asia manufacturing, actually, January this year. And actually, the tariff will [now be] (ph) higher from 25% to potential 45% this year. So, all players -- or all product, all players actually increased the retail price in the United States. So that actually basically gave us a good room for margins. So, we expect the kick-scooters actually to return profitable this year.
Yating Chen: Okay. Thank you very much. And my second question is about domestic market. Considering your new product planning and the channel expansion plans, what is your outlook for average selling price and the gross profit margin in domestic market in 2025? Because we have seen a significant decline of gross profit margin in 4Q '24.
Fion Zhou: Okay. This is Fion. I'll take this question. Actually, in 2025, we already finished the quarter one. Due to the trends from the consumer markets, our high-end or so-called the premium series products are still popular in our -- from our consumers' demand, which means the retail price -- the majority of the our sales are coming from the retail price above RMB5,000. This is maintained the same level in 2024. And this year, since we are going to launch several series of the new models, as Yan just mentioned, to demonstrate our product smart functions and also the design advantages, we are going to maintain the high-end market player in the two-wheeler market in the domestic markets. And we expect the ASP in the domestic market will not drop, but we may expect it a slightly increase in our ASP in the domestic market, but not a dramatic increase in ASP. Since right now, our premium series are almost the 70% in our domestic sales. So, in 2025, we expect the concentration among the premium and the mass premium product series, which will help us to get that slightly increase in the ASP in domestic markets. And talking about the gross margin in the domestic market, actually, along with the sales volume in the domestic market increase, we may get the benefit from the scale of the economy, especially in the BOM cost, and also the other production costs like the staff cost and the amortization on the module cost, those non-BOM cost, which will help us to improve the gross margin in the domestic market product. And we also think about the extra portion of the margin give up on the -- to our sales distributor partners when they think about to regain those gross profits from 2025, but it's still in the decision making process. Along with the new stores opened, continued, if we get the success store expansion, we will delay those profits getting back. And -- but both factors will give us an upside from -- in the gross margin. Either of them will help us improve the domestic gross margin. So, regarding the ASP and gross margin, we'll expect a positive effect in 2025.
Yating Chen: Thank you for your sharing. It's very clear. And we are -- and we expect the company's -- the positive change in 2024 -- 2025. Thank you very much. That's all my questions.
Operator: [Operator Instructions] And our next question will come from [Allen Lee] (ph) with Guotai Junan Securities. Your line is open.
Unidentified Analyst: Okay. Can you hear me?
Fion Zhou: Yes, clearly. Please go ahead.
Unidentified Analyst: Okay. Thank you for taking my questions. I have two questions here. The first one is that we have provided guidance on annual sales, which shows a high growth rate. May I ask if you can provide guidance on the expected net profit margin by 2025? And how much net profit margin can the company achieve within two or three years?
Fion Zhou: Well, actually 2025 is a recovering year to us. And we are not going to share the net profit with the market yet. But 2025, we are able to get the profitability overall -- for the overall listing co. But we will -- since we are going to release the quarter results every quarter, this frequency is good enough for the investors to follow us on the performance on the net profit. So normally, we will follow the general practice as the other US listing company. We only provided the guidance to the sales volume, not the top-line. Top-line, we will give the guidance every quarter.
Unidentified Analyst: Okay. And my second question is that, which quarter in 2025 is expected to see the company's net profit turn from loss to profit, yes?
Fion Zhou: Well, good question. Actually, the quarter -- first quarter is the lag quarter in our industry. This industry is quite seasonal. So, for the other competitors, actually, the first quarter is the last season as well. We expect to see the quarterly profit in the second quarter, which means from April to June, those three months, we will get the quarterly profits this year. Actually, the second quarter is also kind of like the second peak quarter every year. It will contain around 25% to 30% of the revenue each year. And also for the international market, the second quarter, no matter the weather or the logistic, back into the normal level. And both the domestic market and international market are right on the right track in the second quarter. So, we expected the second quarter will be the profit.
Unidentified Analyst: Great. Thank you for answering my question. That's all.
Operator: At this time, I show no further questions in the queue. I would now like to turn the call back over to Mr. Li for closing remarks.
Yan Li: Thank you, operator, and thank you all for participating in today's call and for your support. We appreciate your interest and look forward to reporting to you again next quarter on progress. Thank you.
Operator: This does conclude today's conference call. Thank you for your participation. You may now disconnect.